Bettina Orlopp: Good morning, ladies and gentlemen. Welcome to our earnings call on the Third Quarter 2020. Overall, the financials of the third quarter came in quite well with no surprises. Most important in the current crisis, we support our customers, our capital ratio remains strong, and the business with our customers shows a stable development.  Before I walk you through the financials, I'd like to highlight some of our business achievements of the last months, demonstrating that we are clearly making progress in the transformation of Commerzbank. Let me start with Private and Small-Business Customers. Just last Monday, we have concluded the legal merger with comdirect. From now on, we can further accelerate the integration of comdirect as we no longer face Chinese rules due to the legal entity setup. This is an important milestone to lift the envisaged cost synergies of €150 million, that also provides us with additional sales opportunities across the customer base. Furthermore, we are pleased with the development in our securities business. This year, the number of digital transactions has almost doubled. And in July, we integrated the securities brokerage function into our Commerzbank mobile app. This comes at a time when Germans increasingly invest into securities, many of them as first time investors. Good evidence for this is a 50% increase in security savings plans and the transfer of more than €2 billion deposits into securities within the first 9 months of the year. Whether this is finally the move from a savings culture to an investment culture in Germany remains to be seen, but it is at least a step in the right direction. In Corporate Clients, we could confirm our leading position in ECM with top rankings in the league tables for German euro issuers and also in syndicated loans where we remain number one bookrunner in Germany. As a landmark transaction, we have been lead manager for the inaugural green bonds of the Federal Republic of Germany. Regarding trade finance, the business has obviously suffered a lot from the pandemic. But in the course of Q3, we have seen a recovery in numbers of transactions, which will show up in P&L with a time lag of up to 6 months. And at the client interface, we have completely overhauled and relaunched our cash management app. We meet our clients' demands with additional functionalities for state-of-the-art convenient mobile payments. On group level, let me start with key highlights on sustainability as one of the mega trends, not only in society but also in the financial industry. Since the beginning of September, we are an official supporter of the task force for climate-related financial disclosure, which you all know as TCFD. For our clients, we supported them in the first 9 months of this year and already 27 green and social bond mandates with a total issuance volume of €31 billion. And only this week, Commerz Real has launched klimaVest, an impact fund for private investors combining positive ecological impact with financial return. Furthermore, we have successfully issued our own second green bond on September 16 based on our existing renewable portfolio. In Q2, I have reported on valuation gains from CommerzVentures. In Q3, we again had net valuation gains of €43 million from investments in this portfolio. As said with Q2, this valuation gains are a good proof of our successful approach to the fintech area. But let me reiterate that I obviously can't rule out some failures or impairment in the future. Last but not least, we have agreed with the Workers' Council on the permanent closure of 200 branches and a further FTE reduction program. This resulted in the booking of a restructuring charge of €201 million in Q3. Let me provide you with some details on the restructuring on Slide 2. On branches, we currently operate some 600 open branches, while 400 branches are closed due to corona. Based on the current restructuring, 200 of these 400 branches will be permanently closed. The respective restructuring charge of €62 million covers administrative costs as well as the cost of a voluntary severance offer to the staff affected. These costs should amortize over two to three years. To reduce headcount, we have also agreed on the second wave of a voluntary offering for staff at the age of at least 55 years. They are being offered an attractive early part-time retirement program, which is explained on the slide. In the first wave, we successfully contracted with around 800 FTEs last quarter. Now we target about 1,000 additional employees to accept the offer and booked a restructuring charge of €139 million.  The savings will kick in step-by-step until the end of 2024 when the respective employees actually retire. Together with the €101 million restructuring charges in Q4 2019, we have now booked €302 million under our current strategy. Taking into account that we plan for overall €850 million in the program last September, I can well imagine to book further restructuring charges in Q4. Further cost savings on top of the current program are a very important part of our new strategy going forward. In January, our new CEO, Manfred Knof, will take over and review the strategy. I'm confident that we can update you with the key cornerstones of the new strategy in the first quarter of 2021. Now let me walk you through the financials of Q3. They are characterized by strong capital ratio, good customer business, strict cost discipline and a healthy risk profile. Through the summer season, our business with customers showed a stable performance. Underlying revenues in PSBC and Corporate Clients came in at the same level as in Q2. While loan volumes in Corporate Clients normalized after larger credit line drawings in H1, loan volumes in PSBC Germany again increased by €2 billion, driven by mortgages. On P&L, we achieved a clean pre provision profit of €503 million, including the burden of €71 million from legal provisions for the FX top mortgage portfolio of mBank. This compares well to the €550 million 1 year ago. With exceptional revenue items of minus €63 million and €272 million corona-driven reserves for loan losses, this translates into an operating result of €168 million. And please note that we have not yet booked any contribution from TLTRO III. Expenses in Q3 have been managed €37 million lower than last year without compromising on investment output. All in all, and including the €201 million restructuring charges, we report a net result of minus €69 million in Q3 of 2020. On capital, we further increased our CET1 ratio to 13.5%, which translates into a large buffer to MDA of around 370 basis points. The capital ratio benefits from €4 billion lower RWAs in the third quarter as the proprietary drawings of credit lines from corporates have been reduced. The overall healthy risk profile of Commerzbank is underpinned by the very low NPE ratio of only 0.9%. Slide 4 highlights the key financial figures in a quarter-on-quarter as well as on a year-on-year comparison. On Slide 5, regarding exceptional revenue items, it is worthwhile mentioning that they include a €36 million valuation loss from U.S. dollar AT1. This FX sensitivity is economically hedged over the lifetime of the instrument, but leads to temporary valuation effects in P&L as with a weaker dollar in Q3. Slide 6 shows revenues and results of the division. Both customer divisions show almost stable clean revenues over the summer. As said, revenues in PSBC suffered from additional provisions of €71 million for our FX portfolio in mBank. They reflect our prudent approach based on the current ruling of courts in Poland. Whether there is more to come on this issue remains to be seen. Revenues in Corporate Clients show quite stable development. With our client-centric business model for corporates, we benefited only very moderately from improved IB trading activities in the equity and fixed income markets in the last quarter. While Others and Consolidation in Q2 benefited from the strong valuation-driven revenue rebound, Q3 shows a more normalized picture with an operating result of €12 million. This includes the aforementioned €43 million gain from CommerzVentures and leads to a 9-month result of minus €121 million. For, as said with regards to further valuation strings, we stick to our guidance of around minus €150 million for the full year. Now let's move on with Slide 7 and some drill down into group P&L. As said, our customer business is holding up well. With 6% growth, NCI is compensating the 4% decline in clean NII year-on-year, which experienced additional pressure from lower U.S. dollar rates. On a 9-month basis, both key line items are on the positive side with 9% growth in NCI and a flattish plus 1% in NII. Let me give some additional comments on NII. Back in Q2, I guided for a stable underlying NII in H2 compared to H1, including a quarterly potential contribution of TLTRO of €40 million, offsetting the ongoing drag from rates. Now as we most likely book TLTRO contributions in 2021, we need to deduct potential €80 million from this guidance. This leaves us with around €1.3 billion for Q4 to meet the last guidance. From today's perspective, it will be a stretch as I don't expect a large increase compared to Q3. One of the key measures to safeguard NII is the pricing of deposits. In 2020, we have again intensified our efforts with corporate customers by further increasing the coverage level of clients paying respective fees from 73% at the end of last year to 95% at the end of Q3. The positive impact on P&L from corporate customers is expected to be around €150 million in 2020 after roughly €100 million in 2019. For Private Customers, the positive contribution for 2020 is rather in the lower double-digit area. In the last weeks, we have started to increase the burden sharing by reducing individual thresholds for Corporate Clients and by reducing the general threshold for Private Customers to €100,000. All in all, the operating result of Q3 came in at €168 million. Due to the restructuring charges, discontinued operations, minorities and a tax expense of €12 million, the net result is at minus €69 million. Let's carry on with costs on Slide 8. The overall picture has not changed too much compared to last quarter. 3.3% cost reduction on a 9-month basis underpin our strict cost management. Key drivers of roughly €100 million savings on a 9-month basis in administrative expenses are advertising, travel and lower depreciation. On the personnel cost side, the €50 million savings benefit from a net FTE reduction of roughly 750 FTEs. 1100 FTE reduction of domestic staff stood against 350 additional FTEs, primarily in subsidiaries and nearshoring locations. Regarding compulsory contributions, it is worthwhile noting that roughly half of the increase of €57 million stems from purely external developments. We had a higher target volume for the single resolution fund, higher deposits overall in the system that need to be covered or higher banking tax in Poland for mBank.  Let me now move on with a few slides on risk. Slide 9 provides you with a update on guaranteed loans and deferrals. The drawn amount of KfW loans has increased in the third quarter, but remains at an overall modest level. Around two third of the approved corporate loan volume has still not been drawn. On loan deferrals, you can see on the right-hand side that most of the deferrals ended according to schedule within Q3. Most of those deferrals have been for principal only while interest has been orderly paid.  Going forward, we will closely monitor especially those loans that have been under moratoria to detect whether there are any delays in payment that could lead to defaults. For the time being, more than 96% of customers have resumed scheduled payments after the moratorium ended. And we have satisfied some provisions for potential cases on top of actual defaults. The second trigger for potential future defaults is the planned full reinstatement of the currently suspended insolvency law in Germany as of January 1, 2021. Until then, there might still be a certain number of small business customers legally performing and then filing for insolvency in early 2021. Also for those potential cases, we have set aside provisions as of today.  Such provisions are part of our top level adjustments that are booked on top of actual cases and leads me to Slide 10. Our risk result minus €272 million is basically split into three buckets. First, our base risk result of minus € 91 million. This covers all cases, which would have probably happened also without the crisis. Second, minus €111 million from corona- related single cases. More than three quarters of this number stem from new defaults in Q3 while the remainder is due to additions to existing default cases. Third, we have booked an additional €70 million top level adjustment to cover expected future requirements. This leads now to a stock of 170 million TLA as of Q3.  I would like to point out that these top level adjustments are again based on an in-depth portfolio review for corporates. For smaller business customers, we also reviewed the rating structure taking into account the aforementioned potential impact from deferrals and from the insolvency law. The resulting numbers are mainly based on Q2 ECB scenario, which includes a GDP expectation for Germany in 2020 of minus 7.1%. Let me carry on with Slide 11 and some more specific insights on risk provisioning on segmental level. From €272 million LLPs in Q3, €120 million stem from Corporate Clients, clearly driven by corona effect of €95 million. Further €130 million stem from PSBC with mBank contributing €57 million. The €170 million TLA after nine months split into €65 million for Corporate Clients, €103 million for PSBC and €2 million for Others and Consolidation.  Within PSBC, we have allocated €79 million from the 103 million TLA to small business customers based on the expectation that it will be hard for quite a few of them to survive the crisis. At group level, it is important to note that we operate with an NPE ratio of 0.9% only, clearly benchmark level in Europe. Please note that we have also added a slide on the development of the different stages. You can find it in the appendix on Page 23. Net-net, we have not yet seen significant movements within between Stage 1 and Stage 2. Volumes and expected losses remain in the same ballpark as precrisis. As some inputs into the respective models require a bit of time to crystalize, this is another strong rationale for having additional provisions in form of a TLA in place. With €1.07 billion LLPs after nine months, we stick to our guidance of €1.3 billion to €1.5 billion for the full year 2020, which translates into 48 to 55 basis points cost of risk. However, and against the backdrop of an ongoing uncertainty about the trajectory of economic development, this guidance is subject to the further development of the crisis. Now let's carry on with the operating segments, and let me start with Private and Small-Business Customers on the next two slides. Firstly, I would like to share some insights on our net new customer growth. As we set our targets last year, we basically aimed for a run rate of net new customers of more than 50,000 per quarter, leading us to a target of above 12.1 million in Germany by 2023.  As a consequence, we calibrated our efforts and resources, including marketing spend, to this growth rate. With this background, it is quite impressive, at least to me, that we exceed the targeted run rate now for the sixth consecutive quarter. And to me, this is a good indicator for the attractiveness of our offering. Business volumes have also moved up further in the third quarter. €2 billion growth in loan volumes are driven by our mortgage business that operates at a high 7% annual growth rate, while consumer finance has seen a flattish development. On the security side, markets in Q3 have added more than €5 billion to net inflow of almost €2 billion. The letter provides some evidence for an increased willingness of Germans to invest in securities. Clean revenues in Germany, as you can see in the table on Page 13, have developed largely stable compared to last quarter and also last year. Loan growth at stable margins, mortgage and good fee business compensate for the ongoing burden from the negative rates environment. All in all, and including the burden from additional legal reserves for FX loans and mBank, the Q3 operating result of the segment came in at €83 million. Now let's move on to Corporate Clients on the next 2 slides. As I already mentioned in the beginning of my presentation, loan volumes and credit line drawings have largely normalized. This is also reflected in the development of overall loan volumes with corporates. The increase in March and the respective decline afterwards has been pronounced and particularly in International Corporates. The letter is also being supported by some active management measures to reduce capital inefficient business. With much lower additional credit provisions in the third quarter, Corporate Clients achieved a positive operating result of €74 million with a stable pre-provision profit. Compared to Q2, Mittelstand has benefited from higher demand for FX hedging and advisory business, while International Corporates faced a lighter quarter after a rather strong second quarter. The usually somewhat slower summer season has had also its impact on the institutional business. Overall, the segment faced lower drawings of high-yielding credit lines on top of the ongoing drag from negative rates, as already mentioned. Please note that with lower credit line drawdowns and some management actions, RWAs in the segment have been reduced over the summer by 5% to €95 billion. And that leads me to Slide 16 and to risk-weighted assets. Overall, RWAs came in €4 billion lower at €183 billion. Let me focus on credit risk as we have not seen too much change in market and operational risk. As already mentioned, lower drawdowns have led to lower credit RWA. Please note that besides some management action in International Corporates, this reduction has been driven by our clients and their reduced need for additional liquidity. The volume of credit facilities available to our customers has not been cut but was rather extended. Predominantly rating migration effects on the backdrop of the crisis have led to an increase of €2 billion in credit RWA. Towards the end of the year, we expect further rating migrations and other corona-related effects to burden RWAs. The relief from the SME factor amounts to €1.6 billion RWAs. For Q4, we expect additional RWAs from the TRIM letter. For the CET1 ratio, those TRIM effect should be more than offset by the expected positive impact from software intangibles of 25 basis points on CET1. Finally, the remaining RWA reduction of €1.1 billion was mainly driven by the weakened U.S. dollar. With rating migrations in Q4, the impact from software and TRIM and some securitizations, we expect slightly higher RWAs until the end of the year. Lower RWAs and slightly lower capital have overall led to an increased CET1 ratio of 13.5%, as you can see on Page 17. With a reduced MDA of 9.8%, mainly due to the successful issuance of AT1, we now operate with a buffer of around 370 basis points. This provides us with plenty of headroom for further impact from the crisis and also potential for future restructuring. Midterm, we feel comfortable with a buffer of 200 basis points over MDA. Now let me wrap up the quarter with some key messages and conclude with our outlook in 2020. First, the impact of the crisis has developed as expected, though with a higher degree of uncertainty due to the recent corona numbers and government actions. Our basic view on risk provisioning is unchanged. Second, customer revenues in PSBC and CC held up well over summer. Third, NII ex TLTRO came in slightly lower, while NCI has been strong. Fourth, our effective cost management continues, and we have booked restructuring charges for 200 branch closures and additional FTE reductions. Fifth, the CET1 ratio remains strong and provides us with plenty of headroom for further impact of the crisis and future restructuring. Now let me conclude with the objectives and expectations for 2020. Compared to last year, we expect largely stable customer revenues in PSBC where Corporate Clients is more strongly impacted by corona. We continue our cost management and targeted cost base, including IT investments, slightly below the level of last year. We expect a risk result in the range of minus €1.3 billion to €1.5 billion, however, subject to the further development of the crisis. We now expect the CET1 ratio of at least 13%, and we anticipate a negative net result in light of the expected risk result and restructuring charges. Thank you very much for your attention, and I'm now very happy to take your questions.
Operator: [Operator Instructions] And your first question comes from Johannes Thormann. Your line is open.
Johannes Thormann : Good morning, everybody. Johannes Thormann, HSBC. Three questions, if I may. First of all, on your risk provisions. You just elaborated that the German insolvency law is still suspended. But you say also, you've booked €111 million for new defaults. Can you bridge the gap between that the law is suspended and what's behind this? And secondly, the additional provisions for defaulted exposures, are those old cases or also more corona related? Secondly, on the corporate business, what's your view on the future margin? Several banks have stated now to be more RWA conscious, and they want to exit unprofitable business. If you want to do as well? Is the market getting better? Or do you seeing still due to the high liquidity, we should not expect a margin tick up there? And last but not least, on your tax guidance, you expected low single-digit number this year. And with the losses, this seems to be relatively impossible. Could you update as well? Thank you. 
Bettina Orlopp : Yeah. Thank you. So let me start with the LLPs. So let me just reiterate again what the LLPs are this quarter. So it's €270 million. And out of that one, we have €91 million would be defined as base LLPs, so that our defaults, et cetera, which have nothing to do with the corona crisis itself. And then we have the €181 million, which we relate to corona. And out of this one, we booked €70 million as a top level adjustment, so for the future, and €111 million real cases. And half of it is concerning international clients.  So that's probably one of the reasons it's single cases. Plus you should not forget that there is still some obligations out. So yes, there are some reliefs towards the insolvency law but not a full release. So we also do not expect a tsunami of insolvencies in January, but there might be some to follow in January. This is also the reason for the TLA. On corporates, you asked with respect to the margins. I mean we strongly concentrate on RWA efficiency, and that's also one of the reasons why you have seen a decline in the credit volumes. Some of it is client driven, but some is also bank management driven. Margins have been pretty stable so far, with a, there is a very slight increase, where I think we need to wait and see whether this is sustainable or whether it will be reduced again in the next quarter. And on tax guidance, we assume a low tax rate, not much for Q4, most likely. I mean our tax burden comes from the positive results of our subsidiaries. And since Monday, comdirect is now part of Commerzbank. And so a low tax rate for the year is probably a good guidance.
Operator: And the next question comes from Mr. Stuart Graham.
Stuart Graham: I had two, please. First, you gave some figures for the NII benefit in 2020 from charging customers negative rates. Can you say what you expect for 2021 in Corporates and also Private Clients, please? And then the second question was on Slide 23, your new disclosures on Stages 1 to 3. I'm trying to reconcile that data with what you showed in the H1 Pillar 3 report. So you show €18 billion of Stage 2 exposures at Q2 ex mBank. Whereas the Pillar 3 showed €14.8 billion, so a lower number with mBank. So what's the difference between those figures on Slide 23 and your Pillar 3 report figures, please?
Bettina Orlopp : So let me start with the first question regarding NII have been a benefit from the deposit fees. So as said, this year, we expect for Corporate Clients around €150 million. And that will be pretty stable for next year, I would assume. And on Private Clients, we expect now a low double-digit number this year, and that should be increased next year, given that we have just started our efforts with respect to the Private Clients this year and have even paused that during the first lockdown. So there, we should probably see more in 2021. Your question on the Stage 1 and Stage 2. That's a pretty detailed question. So I would probably need to get back to you on that after this call because that's a rather complicated question.
Stuart Graham: That's fine. Just back on the Private Clients into 2021, is it a meaningful increase we're looking at? I mean what's the opportunity set in charging Private Clients in NII?
Bettina Orlopp: I'm not, can you just repeat the first part of your question, sorry.
Stuart Graham: On the Private Clients, you said it will increase somewhat in 2021 at negative rates. What's the opportunity set? I mean if we're talking about €20 million to €30 million, can it go to €100 million? Or is it just €10 million or €20 million more?
Bettina Orlopp: Well, that's tough to say because, I mean, what we now do is the following. I mean we have introduced the threshold for new clients, new Private Clients with €100,000. So every new client coming in having above, deposits above €100,000 get a charge of 0.5%. That is a rather automatic process happening. The thing with our existing clients is that we should not forget that we really need to find a bilateral agreement with each and every client. And there, we basically started with the clients with larger deposits, and we are now in the ballpark of the clients above €1 million deposits. So that will take a time. So it's very tough to predict on how much we will already then see in addition to what we will see this year.
Operator: And the next question comes from Ms. Izabel Dobreva.
Izabel Dobreva: I have 3 questions. And the first one is on net interest income. I wanted to follow up on the decision not to book TLTRO this quarter because the general loan growth trends have been supportive. So I was wondering, could you tell us why you decided not to book it? And also just to confirm regarding the benefits for next year, should we expect that you will be booking the full benefit? So in other words, €160 million next year? And it is just the timing difference rather than you not expecting to accrue the benefit at all? Then related to the NII, also, if you could elaborate what happened in the corporate center this quarter. Because if I look at the NII development, that appears to be the weaker point sequentially. So if you could explain why the NII in the corporate center dropped about 30% quarter-on-quarter, that would be helpful.  Then my second question was around the cost. And I think you mentioned that there are 200 incremental branch closures related to coronavirus. Could you give us a sense of the incremental cost savings related to those 200 extra branch closures? And then the final question is on your international corporate business. If I look at the revenue performance there, it looks to me that you are lagging the peer group a little bit in capital markets activity. So I wanted to get your thoughts on, to what extent does that reflect any change in your risk appetite? I mean you mentioned that you are taking some active measures to reduce the capital inefficient business, so should we expect a further scaling back in the international corporate business from here, please?
Bettina Orlopp: So lots of questions. I start with the first one. NII, yes, we made the decision not to book TLTRO. What's the reason for that? It's just being very cautious and also following advisers from auditor, et cetera. Because at the very end, the decision is, or the money is really there when you meet the requirements of the ECB in March 2021. So we decided to wait for that, but we are very confident that we will see the benefit of €160 million in 2021, and then we will book it the full amount in 2021. It's just a cautious action to say like that. Second, NII, corporate center. That's basically risk normalization we had a very strong Q2 from treasury, was also rebound, et cetera. And just what you just see here at the corporate center and others and consolidation is a normalization effect in Q3. On the third question with respect to the closure of 200 branches, they finally closed. And I mean we said that you would see an amortization within 2 to 3 years. If we say that the costs for it are €63 million, you can probably calculate pretty good what we see as the benefit out of this of something around €40 million, €45 million. And on international, corporates, I mean, we have seen already the decline in credit volume stem from international corporate business, partly because international large clients have also reached out to capital markets to get capital liquidity, but also because we intensified our measures towards reducing capital inefficient business, and we will definitely continue this path in the coming months.
Operator: And the next question comes from Mr. Jeremy Sigee.
Jeremy Sigee : I have two questions, please. First, can you just come back to the topic of capital and just sort of talk us through the moving parts that you expect in 4Q and in 2021. I think you mentioned slight RWA increases in 4Q. But if you could just talk us through any specific moving parts that you see, either regulatory changes or anything else that would affect your capital ratios I'll just say in 4Q and in 2021?  And then my second question was just whether you expect any further restructuring charges in 4Q or whether we're done for the year on that front?
Bettina Orlopp : Yes. I mean on RWA, what are the expectations. So we definitely will see the term letters that will have an impact. And as I said, in my speech, we are confident pretty that this will be offset by the positive effects, which we will have -- which you will see on the CET1 ratio because of the software intangible ruling, which leads to a benefit of plus 25 basis points in CET1 ratio. That is one thing which we expect. The other thing which we expect is rating migrations due to the corona crisis. There will be some in the fourth quarter. But we are also fully convinced that you will see more to come in 2021, and we are preparing for that. And there are also still TRIM that is out for large clients and banks, so we definitely also will see something there again. That's basically it, I would say, on the RWA changes. On the restructuring, I mean, we are still, we still need to come with our strategy update, our new strategy, which will definitely only happen when the new CEO is onboard, meaning in the first quarter next year. And then you can very likely expect further restructuring costs to be booked. But you should not forget that we have an outstanding, or we have a communicated strategy back from September '19. And there, we announced restructuring costs of €850 million approximately. And we now have booked €300 million, and we will need to make progress on the cost reduction. So I would not exclude that we will book further restructuring costs also the fourth quarter, as I already said in the speech.
Jeremy Sigee: Okay. And sorry, just on the RWA movements, so you're saying that the 4Q, the TRIM letters and the software in handles roughly offset each other, I think you said. So firstly, is that correct? And could you quantify any of the effects that you expect in 2021 in terms of further TRIM and rating migrations. Can you put any numbers around that for us or just order of magnitude?
Bettina Orlopp : Well, on TRIM, we do not expect a very high impact, so that will be really a rather low number, to be very honest. And on the rating migrations, I mean, that is something where you, it clearly is linked to the development of the LLPs, and that is the thing where we all need definitely a crystal ball at the moment. So it's very much dependent on the development of, on the economy, of the corona situation, et cetera.  In the moment, I would say, we expect more rating migrations to come, but absolutely manageable, again, very much dependent on how overall the situation is developing. But I can tell you that we are prepared also for a stress scenario on that.
Operator: And the next question comes from Nicholas Herman.
Nicholas Herman: I have three questions, please, one on asset quality, one on NII and one on capital. So, on the first question on asset quality. I mean I understand that at this point, the outlook is fairly uncertain. But is there anything you can say on how you see, you could potentially see an impact of the second lockdown or COVID restrictions? And as part of that, I mean clearly consensus model is already quite high impairments for 2021, albeit below 2020. What sort of in that scenario would we need to see in 2021 for the risk result to be anywhere close to 2020 level? That's question number one. Question on NII. If I remember correctly, I think the drag on your model deposits right now is a high double-digit number. Is that correct? And I also frankly think that it, that should fall to a mid-double digit number next year. And then the final question on restructuring, sorry, on capital. You mentioned, you clearly have a 9.8% MDA, and you intend to maintain a buffer of at least 200 basis points through the cycle. I mean could you envisage a scenario or would you consider going within this buffer temporarily, such as for restructuring purposes?
Bettina Orlopp : Yes. On the, well, the impact of the second lockdown, I mean, we are closely monitoring the situation. And this lockdown is clearly different to the first lockdown because business are up, and the borders are open, and we see export and imports still continue. But I mean it clearly has an impact on specifically SMEs. But also there, we need to see how the government actions, which they have launched, how this will help the SME. So it's really tough to say. In the moment, we feel comfortable with the €1.3 billion to €1.5 billion, but it's a very, for the complete year 2020. But it's a long quarter. And we definitely will wait and see how January is developing after the full introduction of the insolvency are, and then we should know more. And therefore, it's also very hard to predict what's happening in 2021 and how the LLP will look like in 2021 because it's also very much dependent on how things are developing in the fourth quarter and how the overall situation is developing and what the numbers are doing. So multiple factors which make it very, very difficult to predict and give any guidance on 2021 LLPs, so at least at this point in time. On NII, I mean, the drag on NII is, yes, I would still expect a middle double-digit drag on NII. That's at least what we can assume from now. I mean it all depends a little bit on what's happening on the overall rate situation, on what the ECB will do in the next couple of weeks and months. So today, I would predict a middle double-digit number. And on, the last one was on capital, I definitely do not want to get into any buffers. I can absolutely ensure you that. And with a capital ratio of 13.5% today, I feel that we have a lot of headroom for, on the one side, restructuring costs. And on the other side, potential rating migration stemming from the corona crisis. So I feel pretty comfortable with our today's capital ratio.
Nicholas Herman: That's very helpful. Can I just follow up on the first question, I think I clearly understand that it's very difficult to make any commentary on 2021 impairments. But is it also fair to say that it would have to be a pretty drastic deterioration in economic activity for the risk results to get anywhere close to 2020?
Bettina Orlopp: Again, I mean it's, I mean there are so many measures still out there. We have, in Germany, we still have this concept of the court abide and stuff like that. We really don't know yet how things will develop. So I really do not want to give any guidance on 2021 in the moment.
Operator: And the next question comes from Mr. Jochen Schmitt.
Jochen Schmitt: I have one question on new loan margins in 9 months '20. Could you please comment on new loan margins in Germany in the private and small business client segment? That's my question.
Bettina Orlopp: Simple answer is pretty stable.
Jochen Schmitt: So sorry, just one follow-up. So stable although in light of competition.
Bettina Orlopp : Yes. Yes, that I can confirm.
Operator: And the next question comes from Mr. Tobias Lukesch. Your line is open.
Tobias Lukesch : Yes. Thank you. And two questions for me as well, please. Firstly, on asset quality again and the rating migration issue you already touched on. Could you please give us potentially a number a kind of percentage term, what kind of -- or how big a part of your portfolio have you already assessed? So is that one third to half, just to get an idea like how that migration could further look like. And secondly, could you distinguish between your international corporate portfolio and German broker, or your Dutch broker? Is there a significant difference in terms of either PDs, LGDs that you see and you apply? And secondly, on the capital side, you still have a slight shortfall on the AT1. Is there anything to expect to fill that gap potentially, not since you are very comfortable, but a confirmation would be good. And potentially, again, thirdly, on the restructuring. And you just mentioned that you would -- I understood you correctly, but you would further book some restructuring costs in Q4 to make further progress. Could you please quantify that?  And lastly, maybe give a bit more detail about the new strategy plan? When exactly do you expect that to be out? Of course, you will be in discussions with the new CEO first -- starting on first of January. But is it rather a Q4 thing, a Q1 thing or some more light on that would be helpful. Thank you. 
Bettina Orlopp : So let me start with the asset quality rating migrations. I mean what we have seen so far is rating migrations in the low number. So this quarter, we have seen the €2 billion. I think so far, we have seen something around €4 billion of rating migrations. And at least today, I would expect this trend to be continued until the end of the year. We do always do a full review of our portfolio. So we are not looking at parts of it in Corporate Clients, but we always do a full review of the portfolio, and that is then what you basically see reflected then also in either rating migrations or LLPs books. That's for the first question. Second question, the question was, are there any key differences between the international corporate portfolio and the the domestic corporate portfolio here in Germany. And I can say there are not a lot of differences. I mean clearly, we face very different situations in the different countries, et cetera. But all in all, I would say, no big differences. The shortfall on AT1 was your third question. It's a very tiny one, luckily. I can confirm that we have finalized our funding for this year. So closing the shortfall will be clearly something on the agenda for 2021.  With respect to the restructuring costs, I mean, I said that we want to book further restructuring cost if possible. We are currently testing it, discussing it also with Workers' Council. I mean we have plans there are a number of, I would say, no regret moves in there, which we should implement definitely regardless of the strategy update. And the strategy update will come in Q1. I'm pretty confident and, but you have to keep in mind that the new CEO starts 1st of January, and he is still on the payroll of Deutsche Bank until the end of the year. So therefore, an exchange can only happen really after January 1st.
Operator: And the last question comes from Mr. Riccardo Rovere.
Riccardo Rovere: Actually, my questions have already been answered.
Bettina Orlopp: Okay. Thank you. I think we are finished. Thank you very much for your questions, and talk to you next quarter, I would say. Bye-bye.